Operator: Good morning and good evening, ladies and gentlemen. Thank you for standing by for TuanChe Limited Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference call is being recorded. Now I will turn the call over to your speaker host today, Ms. Yang Song, IR Representative of the company. Please go ahead, ma'am.
Yang Song: Hello, everyone, and welcome to TuanChe’s fourth quarter and full year 2020 earnings conference call. We have released our earnings results earlier today and it’s now available on our IR website, as well as on Newswire services. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in our earnings release and our Registration Statement filed with the SEC. TuanChe does not assume any obligation to update any forward-looking statements, except as required by law. Today, you'll hear from Mr. Wei Wen, the company's Chief Executive Officer, who will provide an overview of our growth strategies and business developments, who will be followed by Mr. Chenxi Yu, Ronnie, the company's Deputy Chief Financial Officer, who will provide additional details on the company's financial results and discuss the financial outlook. Following management's prepared remarks, we'll open up the call to questions. With that said, I would now like to turn the call over to our CEO, Mr. Wei Wen. Please go ahead, sir.
Wei Wen: Hello and thank you everyone for joining us today on our fourth quarter and full year 2020 earnings call. We saw continued momentum in the fourth quarter as our net revenues of RMB165.8 million beat the top end of our guidance range by 7 point and grew 65.7% versus the prior quarter. The better-than-expected fourth quarter results were primarily driven by our offline marketing services that benefited from solid year-over-year passenger vehicle retail sales growth of 7.5% in China, as well as our measured steps to resume our offline auto shows, and with our acceleration growth of our online marketing services. Additionally, we implemented rigorous cost measures such as scaling back our recruitment budget and employee size, combining our top line recovery and strong focus on cost reduction. Our net loss attributable to the company's shareholders was RMB25.4 million in the fourth quarter, which narrowed 38.4% versus the third quarter 2020 and 62.5% year-over-year. Let's take a closer look at the fourth quarter performance of our business segments, while also providing additional detail on our strategic and operational priorities. First, our offline marketing services. As we have discussed on previous earnings calls, our offline marketing events were heavily impacted by the COVID-19 pandemic, especially in the first half of 2020. However, as the pandemic became increasingly under control in China, we were able to progressively resume offline operations in late May of 2020, while keeping in accordance with all local and the national regulatory guidelines on COVID-19 prevention and control. Currently, our offline auto shows and special promotion events are mostly back to normal in most cities we operate. It should be noted however, that with new reported cases in northern China in the fourth quarter of 2021 there are lingering uncertainty on what is to come and how it may impact our business recovery. With our auto shows, we turn individual and isolated automobile purchase transactions into large-scale collective purchase activities. By attracting a large number of consumers, these events serve as integrated marketing solutions to our industry customers, which include OEMs, dealers and other automotive service providers. We enable interactions between large numbers of participants on both sides of a potential automobile purchaser transaction, creating a many-to-many environment with a short period of time that was creating value for both sides. For 2020, we organized 449 auto shows in 172 cities compared with 1,055 in 233 cities in 2019. In the fourth quarter, we organized 230 auto shows in 135 cities compared with 321 auto shows in 149 cities in the same period of 2019, but improving from 152 auto shows across 107 cities in the third quarter. As a result, we delivered RMB128.8 million in net revenues generated from auto shows, down 24.4% year-over-year, but increasing 55.9% quarter-over-quarter. In addition, we have developed our special promotion event services to better support our industrial customers through a series of integrated services, including event planning, and execution, marketing, training and on-site coaching. Leveraging our deep insights in automotive transactions, we have also developed and customized and targeted special promotional events for each auto dealer and OEM. In 2020, we held 207 special promotion events compared to 627 in 2019, and in fourth quarter, our events decreased 81% to 51% from 269 in the fourth quarter in 2019 with revenue decline 84.9% year-over-year. For our offline marketing services, we continue to focus on cities where there is demand for more frequent auto shows and can therefore generate higher ROI. For more remote cities with lower ROIs, we are focusing on online auto shows and special promotion events, a more cost-effective approach than offline events. Next, let me move on to our growth initiative in virtual dealership and online marketing services. The extraordinary challenges that unfolded this year didn't stop us from capitalizing on online automotive retail opportunities that developed from the overall boost in Internet usage. During 2020, we focused on a number of initiatives such as deepening our collaboration with TMall, Baidu Youjia and Webank, as we positioned ourselves for the continued shift to online commerce and established our brand as a leader in this space. Our efforts produced meaningful results. In the fourth quarter of 2020, our revenues from virtual dealership, online marketing services and others reached RMB35.9 million, increasing 579.2% year-over-year. This was primarily driven by successful online promotion events that we held during the quarter. Our strategic collaboration with Baidu Youjia and Webank and the revenues generated from our acquisition of Longye International Limited in January 2020. Let me provide a recap on our main initiatives in online marketing services in 2020. First of all, we made headway in live streaming, promoting events by leveraging our offline infrastructure, extensive relationships with OEMs and the dealers, deep insights into consumer behavior, and our collaborative partnership with online e-commerce platforms. Our significant highlight in 2020 was the live streaming promotion events we've conducted together with TMall auto. We not only organized this event for dealers, but also directly for OEMs. This event provided us with additional insights into consumer’s online shopping needs, as well as the needs of OEMs and the dealers. And we deliver - and we believe can serve as a good template for our future endeavors. Our collaboration with Baidu Youjia, the auto segment of the giant Baidu portal is another example of our creative online merged offline solutions. We helped the Baidu Youija expand its sales network to over 80 cities across China, where are service its operations, aiming to improve sales essentially and conversion rates for OEMs and the dealers. Looking ahead in 2021 – 2021 and beyond, we believe shifting consumer habits towards online commerce will continue to be a tailwind for the acceleration of the full digitalization of automotive sales to online retail platform. We, therefore, see a defined path for us to continue serving the evolving consumer needs by leveraging our strengths as a leading omni-channel automotive marketplace. Now I will turn this call to Chenxi Yu, our Deputy CFO, for a closer look at our financial performance in the fourth quarter.
Chenxi Yu: Thank you, Mr. Wen. Hello, everyone. Thank you for joining us. We concluded a challenging 2020 with a fourth quarter that demonstrated solid improvement. Our net revenues, although 9.3% lower than the same period in 2019, grew 65.7% compared with the third quarter of 2020. The significant top line recovery was achieved, while we simultaneously took a comprehensive approach to managing our costs. This resulted in slower operating expense growth of 29.5% quarter-over-quarter, leading to a narrowed net loss of RMB25.7 million, which was 70, sorry, which was 37.6% and 62% lower versus the third quarter 2020 and the same period last year, respectively. Meanwhile we maintained a healthy combined balance of cash and cash equivalents with restricted cash and time deposits of RMB185.4 million, which will provide us with the runway we need to create a platform for the future growth. Next, I would like to walk through our fourth quarter 2020 financial results. Before I start, please note that all numbers that stated in my following remarks are in RMB terms unless otherwise noted. Our total revenues in the fourth quarter were RMB165.8 million, decreasing 9.3% from RMB182.8 million in the same period last year. This was a result of continued adverse impacts of the COVID-19 pandemic. The decrease was partially offset by the year-over-year growth of virtual dealerships, online marketing services and others compared with third quarter this year, total revenues increased by 65.7% as our offline services recovered, and our online services maintained solid performance. As we progressively resumed our offline auto shows, our offline marketing services revenues generated from these auto shows decreased by 24.4% to RMB128.8 million from RMB170.4 million in the fourth quarter of 2019. The offline marketing services revenue generated from auto shows increased 55.9% from the third quarter of 2020, up RMB82.6 million. Revenues generated from special promotion events in the fourth quarter of 2020 was RMB1.1 million compared with RMB7.1 million in the fourth quarter of 2019 and RMB2 million in the third quarter of 2020. Revenues from our virtual dealership, online marketing services and others increased by 579.2% to RMB35.9 million during the quarter compared with RMB5.3 million in the fourth quarter of 2019, primarily due to our continuous expansion of online marketing services, including live streaming promotion events and collaboration with Baidu Youjia and Webank. The year-over-year growth was also helped by the revenue generated from our completed acquisition of Longye International Limited in January 2020. Our gross profit in the fourth quarter decreased by 8.7% to RMB120.6 million from RMB132.1 million in the fourth quarter of 2019, but increased by 67.3% quarter-over-quarter. Our gross margin increased to 72.8% from 72.3% in the same period last year, primarily due to the change in revenue mix. In the fourth quarter, selling and marketing expenses decreased by 32.5% to RMB107.7 million from RMB159.6 million in the fourth quarter of 2019 and increased by 17.6% compared with the third quarter of 2020, as our operations continue to recover. The year-over-year decrease was also primarily due to the decrease in promotional expenses and staff compensation expenses, as a result of cost control measures taken by the company and reduced offline events. General and administrative expenses was RMB30.6 million compared with RMB27.8 million in the fourth quarter of 2019, and RMB50.9 million G&A expenses in the third quarter of 2020. Research and development expenses decreased to RMB10.2 million from RMB13.8 million in the fourth quarter of 2019, and RMB7.1 million in the third quarter, primarily due to the decrease in staff compensation expenses. Our loss from continuing operations was RMB27.9 million in the fourth quarter lower compared with RMB69.1 million in the same period last year and RMB42.6 million in the third quarter of 2020 respectively. Excluding the effects of share-based compensations, adjusted net loss attributable to the company's shareholders was RMB22.5 million in the fourth quarter compared with RMB58 million in the same period last year. Adjusted, basic and diluted net loss per ordinary share were both RMB0.07 in the fourth quarter compared with RMB0.2 [ph] in the same period last year. Adjusted EBITDA was a loss of RMB21.3 million in the fourth quarter compared with a loss of RMB57.8 million in the same period last year. Now turning to our balance sheet. At the end of December 2020, we had cash and cash equivalents, and time deposits of RMB155.6 million. For more of our 2020 full year financial results, please refer to our earnings press release for further details. For the first quarter of 2021, we expect our net revenues to be between approximately RMB76 million and RMB80 million, representing a year-over-year approximate increase of 684% to 725.5%. This forecast reflects the company's current and preliminary views on the market and operational conditions, as well as the influence of the COVID-19 pandemic, which are all subject to change. This concludes our prepared remarks for today. Operator, we're now ready to take questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Jack Vander Aarde with Maxim Group. Please go ahead.
Jack Vander Aarde: Hi. Great. Thank you. Good evening, guys. Thanks for taking my questions. I'll start for a few questions for Mr. Wen and then a couple for Ronnie on the financial side. For Mr. Wen, it's great to see the business turning around in a positive direction, but of course I'm sure there is a lot of investors out there that are interested in receiving maybe a status update following the proposal letter from January sent to the Board of Directors on potential taking the company private. So for - you know, as you have positive updates on the business side, what do you - what would you tell investors that are maybe interested in buying the stock, but given this proposal that's still outstanding? Thank you.
Wei Wen: [Foreign Language] Give us a moment. Hello, Jack. [Foreign Language] We received the proposal in January from the buying – buyer’s group and the company is evaluating the proposal in-depth. But due to the Chinese New Year, the company is still in the process of forming a special committee to further evaluating the proposal. That's all we can say for now. There's little we can express until further information is available.
Jack Vander Aarde: Okay, understood. I appreciate the added color. And that's understandable. And then another question from Mr. Wen more on - an update on the business. So just kind of bigger picture, I believe I’ve asked this kind of question before. Just maybe can you provide some perspective on what you're seeing in terms of consumer purchases and their appetite for big ticket purchases such as new cars? And then just kind of talk about the overall financial health of your various auto partners and just the general state of the economy for new cars in China?
Wei Wen: [Foreign Language] The macro economy for the Chinese market overall, its been improving significantly over the past few quarters, especially for GDP figures, as well as import and export. So we think that the overall macro economy is improving. [Foreign Language] For the auto sector for the first two months of 2021, auto passenger retail sales in China grew close to 70% year-over-year, according to China Passenger Car Association, up from the low base last year, but also boosted by the broad economic recovery that significantly bolstered consumer confidence. [Foreign Language] Is that good enough?
Jack Vander Aarde: Sure. That's good. And then I guess just sticking to that trend of new passenger auto sales, up significantly obviously, off a down year last year, I'm talking about the overall market obviously. And just any preliminary thoughts and what you're expecting for March and kind of throughout the balance of 2021? do you expect this sort of high positive levels to continue in terms of growth for the overall new passenger car market?
Wei Wen: [Foreign Language] We think that the macro economy, we're being quite optimistic about the improving trends for the rest of year. And that's also being aided by the statement from the World Bank stating that the Chinese GDP growth for 2021 will be one of the best in the world. And for the auto sector, we also believe that the upward trend is more likely in 2021.
Jack Vander Aarde: Excellent. That's helpful. And then let me switch gears now, just from TuanChe specifically from a segment perspective, virtual dealership in other segment was very strong clearly, it was ahead of my expectations. Longer term I guess, do you see - and given just - given the dynamic, you guys are shifting your kind of strategy as you go along here. Do you expect the virtual dealership segment and other segment to be kind of - kind of where do you see that mix evolving over time? Is it going to be the core offline auto show business as the core of the business? Or is it going to become the virtual dealer business? Is that going to be more of a focus? Just how do you see this playing out over time?
Wei Wen: Okay. [Foreign Language] In 2020, our online product services was improving very fast. But - and we are also - we're also - we also believe that this segment will be an important part of our future growth. But our auto show businesses will remain a strong - remain a core product for our product mix. [Foreign Language] For 2021, or maybe the next few years, the auto show business will still be the largest business in our revenue mix and our core business and our product mix. Does that help understand?
Jack Vander Aarde: That's helpful, that's helpful. I appreciate the color there. And then just as far as auto show events go, you know, they continue to – I think it was for the 230 auto show events in the fourth quarter. That's again, you know, another sequential improvement, which is good to see. Do you expect the number of auto show events you host to eventually recover? Like when do you expect that to maybe return to the same levels you saw earlier in 2019 and 2018? Or is it too - is it too hard to say, just any color there?
Wei Wen: Okay. Gives us a sec. [Foreign Language] We are trying to recover the number of auto shows and city coverage to the level of 2018 and 2019. But still our priority - our first priority is the ROIs these auto shows produced and the operational efficiencies in the cities we operate. So that's the base we are trying to recover from. So that’s that.
Jack Vander Aarde: Got you. Okay, that's helpful. That makes sense to me as well. And then may just one last question, maybe for you, Ronnie. Just given the revenue momentum and just the overall macro environment continues to kind of turn around in a positive direction. Just wondering you know, for your perspective on what that means for your plans and how you think about operating expense investments and whether you expect to ramp those up, as we - as you go along as the top line begins to recover, do you expect OpEx to pick up again or any color there?
Chenxi Yu: The OpEx will certainly pick up in terms of absolute figures, but we are - we're doing everything we can to come - to take everything, to take cost control measures to you know to minimize the OpEx and the costs. So, I would expect for 2021 the absolute figure will go up, but the percentage that OpEx is - of the revenue will be lower than that of 2019 and 2020.
Jack Vander Aarde: Of 2019 as well. Okay, excellent. Okay, that's it for me guys. It's great to see the positive turnaround story playing out. I wish you best of luck. Thank you.
Jack Vander Aarde: All right. Thank you.
Operator: As there are no further questions now, I'd like to turn the call back over to management for closing remarks.
Yang Song: Thank you once again for joining us today. If you have further questions, please feel free to contact TuanChe’s Investor Relations through the contact information provided on our website or the Piacente Group, Investor Relations.
Operator: This concludes…
Yang Song: This concludes the conference call.
Operator: You may now disconnect your line. Thank you.
Wei Wen: Thank you.